Operator: Good day and welcome to the LifeVantage First Quarter Fiscal Year 2015 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. John Mills of ICR. Please go ahead, sir.
John Mills: Thank you. Good afternoon ladies and gentlemen and welcome to Lifevantage Corporation’s fiscal first quarter 2015 conference call. On the call today from LifeVantage are Doug Robinson, President and Chief Executive Officer; and Dave Colbert, Chief Financial Officer. By now everyone should have access to the earnings release which went out this afternoon at approximately 4 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage’s website at lifevantage.com. This call is being webcast and a replay will be available on the company’s website as well. Before we begin, we’d like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. These statements are based on current expectations of the management and involve inherent risks and uncertainties including those identified in the Risk Factors section of LifeVantage’s most recently filed 10-K. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, November 06, 2014. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today’s release or call. Based on the number of participants on today’s call, during the Q&A session, we ask that you please limit the number of your questions to three. Now, I will turn the call over to the company’s President and CEO, Doug Robinson.
Douglas C. Robinson: Thanks John and good afternoon everyone. As we complete our first fiscal quarter, we’re pleased with almost every aspect of our business, including our revenue growth outside of Japan, our bottom line improvement, the strength of our internal infrastructure resources, the general health of our distributor base, and the progress of our global expansion and product launches. Nonetheless, our consolidated revenue increased 1% on a year-over-year basis. A lower rate than we expected primarily because of significant decreases in our sales in Japan. To this end, revenue growth in Japan is our number one priority. We generated consolidated revenue of $52 million, a slight increase compared to revenue of $51 million in the prior year period. We’re pleased to report that sales in the Americas increased 6% on a year-over-year basis, reflecting our success in reigniting growth in our largest market. We benefited from the initial sales of our new energy product line AXIO, products designed to expand our reach into the millennial market and we are experiencing early success. Our millennial demographic grew 9% in the U.S. during the quarter, when compared to June 2014. We achieved global revenue growth excluding Japan of approximately 7% compared to the prior year quarter. This growth was offset by a contraction in Japan, which experienced a 16% year-over-year decline. While we’re disappointed that we continue to face challenges in Japan, we have a number of growth initiatives in place for the Asia Pacific region. We remain optimistic about our long-term outlook in this important market, but believe recovering from the current slowdown. We’ll continue to take time and considerable effort. I’ll provide additional detail on this later in my remarks. Based on our year-to-date results and our outlook for the remainder of the year, we are reiterating our annual guidance. Throughout fiscal year 2015, we will continue to make strategic investments in our business that support our growth initiatives. We’re benefiting from many investments and accomplishments we’ve recently made including, building brand awareness, improving our leadership team with key new hirers and sales, marketing and product development, expanding our product portfolio with successful new product launches, and expanding our geographic presence. The level of engagement and energy from majority of our distributors is improving and we’re looking forward to working with them as we progressed through this time of expansion. For example, our distributors are quickly learning the benefits of our new products and the improved market materials we now have available. Enabling them to increase their sales with new and existing products as well as improve their overall business. Outside of what we are experiencing in Japan, we are encouraged with the overall fundamentals of our business. And our confident that we are well positioned to deliver improved results, not only in fiscal year 2015, but also in years ahead. Let me first talk about our new product innovation. We’re focused on expanding our portfolio through launching scientifically based products that help people to feel, look, and perform better. Last month, we did just that. We launched AXIO in the United States. AXIO was a new healthy approach to energy drinks, derived from a unique combination of scientifically validated ingredients. Let me be clear, we did not develop this product line to compete again other network marketing energy drinks, but to compete against other multibillion dollar commercial brands, unlike most energy drinks that rely almost entirely on caffeine and sugar for a temporary energy boost. Our unique healthy formula delivers both immediate and sustained energy as well as improved mental focus. This is a unique and differentiated product in the large and evolving energy market. AXIO appeals to our existing customer base, but it also has the benefit of helping us expand in the millennial market, which is estimated at approximately $80 million in the United States alone. This product represents a tremendous opportunity to grow and diversify both our distributor family and preferred customer base. In AXIOs first month in the market in a pre-launch whisper campaign format, we generated more than $1 million in revenue. This comprised nearly 3% of net revenue for the first fiscal quarter. We’ve been encouraged by the positive consumer response and initial sales in the U.S., which has validated our plans to expand the AXIO brand into additional countries. We began the process of registering and clearing AXIO for launch into these new markets during the last quarter. Moving on to our second key growth initiative; investing in and strengthening our sales and marketing efforts. This starts with simplifying our marketing and science messaging. In the past, our messaging around our products was complex and, as such, cumbersome. This leads to our ongoing investments in specific areas that we believe will have a direct impact on growing revenue. These include additional investments in social media, mobile technology, online store enhancements, customer retention programs, distributor training tools and distributor events, and specifically targeting demographics such as millennials, females, and Hispanics. As an example, this Saturday in Florida we’re holding our first-ever 100% Spanish-speaking event that is expected to draw approximately 1,000 people. Furthermore we’re aggressively adding new sales promotions, limited-time offers, and seasonal sales events to continue to generate demand and revenue growth. Turning now to our third initiative; expanding our geographic reach and improving the platforms of our recently-launched countries. As I mentioned earlier, our biggest challenge facing us today is the contraction in Japan revenue. Our current issue in this market began few months ago when we had a group of distributors that were harming the market and our ability to grow long term, by recruiting to another business while at LifeVantage meetings. In June, we determined that it was necessary to terminate two of our lead distributors based on these ongoing violations of our policies and procedures. Unfortunately, those distributors, even after leaving the Company, have continued to attempt to reach into our distributor base to cause additional distractions and to attempt to recruit our current distributors to another company; actions that directly violate their agreements with us. We are fiercely combating the forces that have caused the current contraction in Japan with a defined action plan. We are unifying the Japan distributor base, starting with our distributor leaders in the market. These leaders have tremendous network marketing experience and a passion for LifeVantage and our products. We have restructured our Japan Field Advisory Board with the intended effect to streamline the partnership process and focus leaders on positive in-country distributor activities. Having set the tone with the restructured Field Advisory Board, all leaders can now spend the majority of their time doing what they do best; building their business. In addition, we have sought assistance from some of our U.S. distributor leaders in the Japan market. Several of these individuals have met with and held multiple distributor meetings in Japan to refocus their efforts, leveraging the business opportunity and products we have to offer in that market. These cross-border partnership efforts were evident at our October Elite Academy in Long Beach, California where many U.S. distributor leaders spent a considerable amount of time training with our Japanese leaders. In addition to promoting greater leadership and unity in the market, we are creating country-specific marketing tools and materials that we believe will be a great benefit to the leaders and other distributors as they build their business. As you may be aware, the regulatory landscape in Japan is considerably different than in other countries, including the U.S. This landscape limits our ability to fully capitalize on our science and the benefits deriving from that science in the same way we were able to do so in the U.S. under regulatory law here. Using a combination of specifically-crafted promotions, campaigns, and incentives for Japan, and by partnering with the public relations firm, Edelman, we are driving greater awareness of our business, highlighting the science behind our products, increasing excitement, and generating added credibility in the market in order to drive revenue. In the direct selling industry there is a governing body, the Direct Selling Association of each country that sets the standard of business conduct. Simply, the code of ethics. In fact, the overarching world governing body is known as the World Federation Direct Selling Association. It, too, has its own code of ethics. We have a duty and a responsibility to stand up for the integrity of our distributors, our company, and our shareholders. We are pursuing all appropriate legal and compliance actions against those who seek to interfere with the relationships we have with our Japan distributors. Our independent distributors work very hard to build their businesses. LifeVantage is committed to protecting their businesses from others whose actions go against the rules and regulations of our industry, the country they operate in, and our company. Sometimes, we have to take difficult actions in order to protect those ethics and we believe this will make us a stronger company in long run. We have a lot of work ahead of us and we expect to stabilize Japan in the coming quarters and return to and return to sequential growth in fiscal 2015. Japan has been a profitable market for LifeVantage since its inception and we are confident that, long term, Japan will contribute once again to growth. Looking at the rest of the Asia Pacific region, we are encouraged and optimistic. We are investing additional resources in Hong Kong and the Philippines. Specifically, we will be celebrating the second anniversary of opening the Hong Kong market next month with a dedicated event. Also in Hong Kong, currently underway is a new office build-out to help with local sales and marketing initiatives. In the Philippines, our search for office space and additional resources remains a key global priority and we continue our efforts to be in a position to offer full, on-the-ground operations in that market. Included in our earnings release today is the announcement of global expansion into Thailand, which is one of the premier network marketing countries in the world. We expect to commence sales late in fiscal year 2015 upon the completion of key piece of business licensing and product registration in that country. We recently hired a country manager to oversee the day-to-day operations in that market. We’re actively building the in-country team and we have already identified and secured an option on office space. Thailand represents another great opportunity for LifeVantage and our distributors. We’re currently modeling sales in Thailand to contribute approximately 3% of overall revenue to our results in fiscal year 2015. In summary, we are encouraged by the direction of our business and the expansion of LifeVantage. Our business in all markets is benefitting from the improvements we have implemented over the course of this last year. We’re continuing to make important strides by strengthening our product portfolio, investing in our distributor growth, increasing sales in existing markets, and expanding our presence in international markets. We remain on track to deliver another year of top-line and profitability improvements. With that, I’d like to turn the call over to Dave Colbert to discuss our financial results in more detail.
David S. Colbert: Thank you, Doug. Good afternoon, everyone. For the first quarter ended September 30, we reported revenue of approximately $52 million compared to $51 million in the same period in the prior year. Revenue in the Americas increased 6% while revenue in the Asia Pacific region declined 10%. Also, revenue for the quarter was negatively impacted $700,00 or 1% by foreign currency fluctuation. An important component of our revenue and a critical metric related to maintaining the strength of our business is our recurring revenue or auto-ship revenue. Auto-ship revenue for the quarter was 60% of overall revenue compared to 59% in the prior year. Our gross profit in the first quarter was $46 million for a gross margin of 89%. Gross profit in our first quarter includes the one-time benefit of approximately $2 million from recovery proceeds related to the company’s December 2012 product recall. The benefit was recognized in cost of sales in the quarter. In the same period last year, our gross profit was $43.5 million for a gross margin of 85%. Commission and incentives for the first quarter was 48% of revenue compared to 50% of revenue in the same period last year. We expect our commission and incentives expenses to increase slightly to approximately 49% for the full year as we continue to focus on those new distributor and preferred customer enrollments and promotions. SG&A expenses for the first quarter increased 4.5% year-over-year. This quarter SG&A was 26% of revenue compared to 25% of revenue in the same period last year. The increase in SG&A expenses during the quarter were due primarily to a 65% year-over-year increase in research and development and a 29% increase year-over-year in sales and marketing related expenses excluding commissions. These increases are a direct result of our initiatives to invest in product innovation and sales and marketing. These increases were partially offset by 15% decrease in general and administrative expenses. Compared to prior year, we expect SG&A to be up approximately 1% on a full year basis. Other income and expense in the first fiscal quarter was $600,000. This expense incurred in the quarter is due to interest on our term loan, which did not exist in the prior year. Net income for the first quarter was $4.7 million or $0.05 per diluted share calculated on 104 million fully-diluted shares. This compares to $3.3 million or $0.03 per diluted share calculated on 124 million fully-diluted shares in the same period last year. For modeling purposes, it’s important to note that first quarter 2015 results includes the one-time benefit of approximately $0.01 per diluted share of settlement proceeds. Turning to our balance sheet. Our cash and cash equivalents as of September 30 were $22.1 million. We generated $5.1 million of cash flow from operations in the first fiscal quarter compared to $4.9 million in the same period last year. Our inventory at the end of the first quarter was $11 million up from $8.8 million at the end of fiscal year 2014. The buildup of inventory was directly related to our two recent product launches. Also, we repaid $1.2 million of debt during the first fiscal quarter of 2015 and returned $2 million to shareholders in the form of share repurchases. Outside of the first fiscal quarter activity during the month of October we purchased an additional 1.6 million shares or $2 million completing the $4 million share repurchase authorized in June. As of October 30, our total shares outstanding were 99 million. In total, over the past three years we have returned $58 million to share shareholders in the form of share repurchases. This represents over 26 million shares. In keeping with this strategy of returning value to our shareholders, our Board of Directors has authorized a new $7 million share repurchase program. Now, I would like to review our guidance. As Doug stated, we are reaffirming our fiscal year 2015 annual guidance. We continue to expect to generate revenue in the range of $225 million to $235 million for the year, representing a 5% to 10% increase over the fiscal year 2014. We are modeling to have all countries growing in the range of 6% to 11% for the full year with the exception of Japan, which we expect to contract by 8%. As Doug stated, we plan to commence operations in Thailand late in fiscal year 2015 and we expect this new market to contribute approximately 3% to 4% of overall revenue. Earnings per diluted share are expected to be in the range of $0.14 to $0.16 per share, which is 40% to 60% increase compared to fiscal year 2014. Our earnings per diluted share is based on an estimated 107 million diluted shares and a 34% effective tax rate. Finally, we expect CapEx to be approximately $4 million. We look forward to updating you on our progress throughout this year and at this point I’d like to open up the call for questions. Operator?
Operator: (Operator Instructions) And we will go first to Justin Ruiss of Sidoti & Company.
Justin Ruiss – Sidoti & Company, LLC: Good afternoon, guys. How is everything?
Douglas C. Robinson: Good, Justin. How are you?
Justin Ruiss – Sidoti & Company, LLC: Doing well. Just a quick question with what happened with Japan. I guess with all the action you’re going to be taking and what’s going on further, can we expect anything cost-wise to increase? Will there be any impact going forward, maybe on OpEx?
Douglas C. Robinson: No, nothing on the cost side of the business, Justin. All of our strategies as I outlined in my prepared remarks are really all people-related, strategies-related things that we’ve already put in motion and continue to deploy. So, nothing on the cost side.
Justin Ruiss – Sidoti & Company, LLC: Got you. And then just looking at the landscape of what’s out there, I know with the acquisition that you recently made, now rebranding them to Axio. On not maybe anything specific, but are you seeing the landscape getting more robust? Is there anything that’s catching your eye that we can think of maybe in terms of an alternative use of cash as opposed to the repurchase program?
Douglas C. Robinson: That’s a great question. One of the things that we often look at our companies and I’ve said this before publicly, that frankly remind me a lot of LifeVantage five or six years ago, a company that had certainly, great science, a great product in Protandim, validated science, peer-review published reports and papers on the product, patents on the product, what have you, but, a company that really hadn’t found a way to monetize that success in the market. There are a number of companies out there, frankly, that remind me a lot of that. And through various different avenues, some of our investors, our banking partners, what have you, people like yourself, analysts in the space, you’ll point us in that direction or vice versa. Companies will come to us and we’ll take a good hard look at that. You know, our strategy that we’ve deployed and we describe often is deploying scientifically-validated products in that feel, look and perform better space. We couldn’t be happier that we have our own science and research and development team led by Shawn Talbott and his team. That said, we’re developing things organically and internally, but we’re always open to looking at opportunities on the outside as well and we continue to do that. Thus far, other than the Wicked Fast asset purchase that we made in this past year, we haven’t pulled the trigger on any other opportunities, but we continue to look for those opportunities all the time.
Justin Ruiss – Sidoti & Company: Got you. And then just one last question. I know with the Axio line, I mean with the millennials looking into this, I feel like these things can catch fire very quickly. I mean do you have, I guess you’d say, the resources to ramp up production if that were to be a fast mover for you?
Douglas C. Robinson: Yes. I’m going to interpret your statement of catching fire as a good thing.
Justin Ruiss – Sidoti & Company: Yes.
Douglas C. Robinson: Yes, we’re right there with you. We’re incredibly bullish on this new product line; the science behind it, how it's differentiated in the market against these monster, no pun intended there, but huge commercially-successful energy drink products. And as I said in my prepared remarks, we designed and deployed this new product line not to against other network-marketing energy drinks but to go against these big commercial successful products. That said, we think we’ve got a handle, really at the nature the core of your question, on our raw materials, on our products, on our manufacturing, on our shipping and we’re watching that very closely. And the last thing that we would tolerate whatsoever here at this company, in the way we run the Company, is to stock out of a product that’s in demand in the marketplace through our distributors and preferred customers. That just won’t happen here.
Justin Ruiss – Sidoti & Company: Got you. Perfect, thank you very much.
Douglas C. Robinson: Thanks, Justin.
Operator: And we’ll go next to Mitch Pinheiro of Imperial Capital.
Mitch Pinheiro – Imperial Capital: Yes, hey, good afternoon.
Douglas C. Robinson: Hey, Mitch.
Mitch Pinheiro – Imperial Capital: Hey so, I noticed that your revenue per customer in the Americas was up about 12% by my calculation. Is that – obviously I mean that’s driven, I assume by Axio. Or is there other factors driving that higher?
David S. Colbert: Mitch, this is Dave. It’s a combination of two things. You are correct with Axio, but it’s also due to the new TrueScience skincare regimen that we launched in April.
Mitch Pinheiro – Imperial Capital: Right.
David S. Colbert: So, the combination of those two new products is helping drive that increase.
Mitch Pinheiro – Imperial Capital: So, is that sort of a trend that we’ll sort of see a similar type of level in the next quarter or two? Or was there any kind of a buy-in or just sort of front-loaded here a little bit and maybe there’s a slowdown?
David S. Colbert: No buy-in as you’re describing it. We do run, when we launch a new product, we do run incentives and promotions to support that product launch. As those products get traction and move forward, I would not expect a huge drop off in the metric that you’re looking at going forward.
Mitch Pinheiro – Imperial Capital: Okay. And then when you look at your – and back to the Americas again – starting to see an acceleration in your active distributors. Anything driving that, anything in particular? Or is it a combination of everything that you guys have been doing for the last year?
Douglas C. Robinson: Well, it’s really a combination of a lot of things, Mitch, starting with, and we’ve talked about this in a number of our recent quarterly calls, the unity that is experienced in our distributor leaders here in the United States. We have greater unity, greater continuity amongst our distributor leaders than I think we’ve ever had in my five years being associated with the Company and in the five years that we’ve been in network marketing. So that’s first and foremost. But beyond that, the strategies that we have in place, the people that we’ve brought to the Company in sales and marketing are all driving exactly what you’re getting at with your question. You know, things like a new opportunity video, revamped product videos. Our science and R&D team, if you’ve gone to our website, you can see Life Lab and some really quick videos that are available not only to our preferred customers, but to our distributors as well. These are tools that support our business hugely, hugely important to our business, and those are things that we’re doing. And then country specific, we have a myriad of campaigns and programs in place whether it’s in the United States, in Canada, in Mexico, in Japan, Hong Kong, etc. that we’re putting in place and driving specific to move the revenue north. And I think what we’re seeing now after nearly 12 months. I think we're at - weeks since Dave Phelps, our Chief Sales Officer, joined the Company, and the changes that he’s made in the sales team. It’s been 11 months since Shawn Talbott, our Chief Science Officer, has joined us and he’s built, in those 12 months, an incredibly robust research and development team. Ann Billings, our Vice President of Marketing, joined us a few months back. When you add to the Company in these key areas and bring on just high-quality people and then deploy the strategies that we’re putting forth, these are the kind of outcomes that we would expect.
Mitch Pinheiro – Imperial Capital: And then when do you see, in the Americas again, the preferred customers start to sort of match the distributor kind of growth? It’s lagging. It was actually, in my numbers, it was down year over year and I’m wondering when that turns.
Douglas C. Robinson: Yes. We’re watching that very closely as well. I think it’s all tied to enrollments. So, as our enrollments increase with business-building distributors, so too will our enrollments rise with preferred customers. You all know, providing coverage for our company, some of the unique aspects of our business with our scientifically-validated products. We enjoy a very nice ratio of preferred customers. Many people come to LifeVantage to consume our products because of their scientific validation. I don’t ever see that changing and I think that’s a great thing. I think the kind of products that we’ve put forth this far and what’s in our product pipeline will always be scientifically-validated products and meaningful to preferred customers. But, at the core – make no mistake – of growing is the growth in our enrollments, first and foremost, with business-building distributors and what will follow closely is our preferred customers as well.
Mitch Pinheiro – Imperial Capital: Okay, thank you. And two more questions here quickly. Dave, in the gross profit, the cost of goods is where you recorded your insurance settlement, correct?
David S. Colbert: That’s correct, yes.
Mitch Pinheiro – Imperial Capital: And was it the full – what was that number that was in there?
David S. Colbert: Yes.
Mitch Pinheiro – Imperial Capital: $2 million, okay.
David S. Colbert: Yes.
Mitch Pinheiro – Imperial Capital: Got you. And then for your guidance, if you said it, I’m sorry. I didn’t see it. But, what’s the assumed share count?
David S. Colbert:
Mitch Pinheiro – Imperial Capital LLC: Okay. So that would not include, obviously, the new authorization?
David S. Colbert: Correct.
Mitch Pinheiro – Imperial Capital LLC: Okay. Beautiful. Thank you very much. I appreciate your time.
David S. Colbert: Thanks, Mitch. Thanks for your questions.
Operator: (Operator Instructions) And we’ll go next to Alec Jaslow of Midtown Partners.
Alec Jaslow – Midtown Partners & Co. LLC: Hey, guys. How are you?
David S. Colbert: Good, Alec. How are you?
Alec Jaslow – Midtown Partners & Co. LLC: Good, thanks. Just a question about the gross margins. It looks like when you add back the recall, I think there’s about 30 basis points of upside. Can you give us some more color on what’s driving the improvement in gross margin, whether it was product mix, pricing, or what not?
David S. Colbert: Yes, Alec. This is Dave. Yes, it is improving. It’s pretty tight if you look at it on a rounded basis, 85% to 85% gross margins. But it is improving. And, again, I believe I mentioned it on this last call when we were talking about margins and giving out guidance, we have a number of key cost-reduction initiatives in our operations team centered around purchasing; the purchase price of our raw materials, negotiating shipping cost and pricing with our distribution handler, etc. So, these are a number of initiatives that we’re working internally to continue to take cost out of the system. So, that’s what you’re seeing. It’s less a mix of products and more of internal cost-reduction programs.
Alec Jaslow – Midtown Partners & Co. LLC: Okay. And how is Axio’s margins versus the other products?
David S. Colbert: We haven’t specifically given margins on each product, but what we have told the street is that our target range for margins is right at what we’re looking at, this 85% range. So, when we launch a new product, we’re going to be in that 84% to 86% range. So that, on a go-forward basis, we’re right in that 2 percentage point range and you see we’re right at 85%. So, any product we come out with is going to be in that range.
Alec Jaslow – Midtown Partners & Co. LLC: Okay, and then I think last time you mentioned the visitors to the website, also all the benefit from the Real Salt Lake City soccer team. Are you still getting any benefit from that? Are there any numbers you could provide? Or just talk about how the website is doing in terms of visitors and whatnot.
Douglas C. Robinson: Yes, Alec. This is Doug. Our partnership with Real Salt Lake and the jersey-front partnership deal, we’re just concluding the first season. In fact, the team made the playoffs for the seventh consecutive year, which is a record in major league soccer. So, we continue to get the benefit of having our name on the jersey now that things move into the fall and that playoff season. The relationship, the partnership is going along incredibly well. Our brand and our name and the awareness of our name, it’s really out in places that previously we hadn’t seen. In fact, one of the really interesting things, FIFA, the video game for soccer; in fact, it’s by volume the largest sales of any video game worldwide is the FIFA game. There is a downloadable cover for that that has Kyle Beckerman, a midfielder for Real Salt Lake, on the cover prominently displaying the LifeVantage jersey. So, that’s just one example of the partnership and the brand awareness and the reach, frankly, not just here domestically, but globally that we’re getting out of this partnership. That said, and it’s really at the core of your question, we’re seeing a lot of traffic into our website that our website that we think is attributed to this new brand partnership. But, it’s hard to isolate it one to one and exclusively because we’re making so many other changes on our website. Things like that Life Lab that I talked about, some of these videos that are available that are coming out of our science and R&D team and our marketing team. The new products; certainly Axio draws a lot of people to the website. So, you add all these things up and we’re seeing a lot of changes that we’re liking. We like the trends because the more we can drive our brand awareness, the more that helps our distributors in the field and, ultimately, that will translate into a lift in revenue for the Company.
Alec Jaslow – Midtown Partners & Co. LLC: Okay, thanks. And the last question I have is regarding Axio. If you could maybe talk a little bit about the product; what’s the customer feedback so far? Maybe what’s kind of differentiated versus the other energy drinks or what people are liking and whatnot?
Douglas C. Robinson: Yes. The feedback has been fantastic. I mean just plain and simple. Starting with the way it was launched. We launched it at our Elite Academy in Long Beach, officially. But about 30 days prior to that, and I mentioned this in my prepared remarks, we had what I would call a whisper campaign with our U.S.-based distributors where we made product available in generic packaging and we sold north of $1 million of that product just in this whisper campaign in the very first month, that last month of the quarter, September. So, really excited about it. Our distributors, preferred customers, frankly everyone that I’ve talked to that tries the product loves it. From a differentiating standpoint, and I mention this again, briefly, we think it’s a healthy alternative. The formulation of this energy drink is actually good for you. It even improves mood and your vigor and what have you whereas so many of the other commercially-successful brand names in the space are all driven by really unhealthy levels of caffeine and sugar. And oftentimes those drinks give you a quick boost only to have a quick drop or a quick crash. Our products are designed really not to do that whatsoever, but to have sustained energy. So, early on, we’re incredibly bullish on this product, so much so that we are launching into other countries. We plan to launch it in other countries. We’re doing all of the registration in all the markets that we’re doing business in. And we plan to launch, officially, the Axio line in Japan in February at the February Elite Academy in Osaka. So, stay tuned. I mean this is a very important line for us going forward. It’s in that feel, look, and perform better categories. It makes sense from a strategy standpoint and we think it also will lend itself well to line extensions. So, for many reasons, we’re incredibly bullish on this product and the product line.
Alec Jaslow – Midtown Partners & Co. LLC: Okay, great. Thanks, guys. I appreciate it.
Douglas C. Robinson: Thanks, Alec.
Operator: And this concludes today’s question-and-answer session. I would now like to turn the conference back over to Mr. Doug Robinson, Chief Executive Officer, for any additional or closing remarks.
Douglas C. Robinson: Thank you very much. Thanks, everyone, for joining us today on today’s call. As a reminder, we’ll be attending a number of investor events in the coming months and we hope to see you there. And, in the meantime, we often see you and take your calls so we’re excited about where we’re headed. Stay tuned. Thanks very much.
Operator: This does conclude today’s conference. Thank you for your participation.